Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:10 Good day, and welcome to the Ranger Energy Services Fourth Quarter 2021 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. 00:40 I would now like to turn the conference over to Stuart Bodden, CEO. Please go ahead.
Stuart Bodden: 00:47 Thank you, operator. Good morning, everyone. This is Stuart Bodden, President and CEO of Ranger Energy Services. I'm joined today by Ranger’s CFO Brandon Blossman. Welcome to the Q4 2021 Ranger Energy Services Analyst Call. 01:03 Before we begin, I would like to recognize the citizens of Ukraine. The Russian invasion of Ukraine has made it difficult to celebrate the most recent run up in oil prices, but the Ukrainians bravery and resilience is an inspiration to us all. 01:17 Regarding Ranger, Brandon and I have been looking forward to speaking with you for some time. We're excited about the basic integration, Ranger's Q4 results and our outlook for 2022. As you may have noted, we have changed our reporting lines to provide greater transparency into our primary service lines. We are now reporting three segments: High Spec Rigs, Wireline and Processing Solutions and Ancillary Services. High Spec Rigs includes production and completion related well servicing work. The Wireline segment includes production and completion related wireline work. Processing Solutions and Ancillary Services includes our Torrent in field gas processing business, Coiled Tubing, Plugging and Abandonment, P&A related Cementing Services and Rentals, and Fishing Tools. 02:10 Like everyone we are experiencing increased demand for our services and better pricing. However, supply chain and labor issues persist and attracting new labor into the industry in particular, remains a challenge. That said, we believe Ranger is set up for a very strong 2022. The High Spec Rigs business continues to perform in line with our aggressive expectations. We are the clear market leader, demand is increasing and we have been successful in increasing price and leveraging the performance of our High Spec Rig fleet. 02:42 The Wireline business has a more competitive landscape. However, both pricing and operational performance are now showing improvement. We definitely see a clear path to a very successful second half of the year, both from a demand and a pricing perspective. The legacy business lines embedded in our new Processing Solutions and Ancillary Services segment were already material and successful businesses in their own right. The basic acquisition brought several new lines of business to this segment and we have evaluated each of these businesses for fit. We have decided not to sell any of these businesses at this time. As on review, we now believe they are all capable of generating solid returns with growth prospects beyond what we experienced in Q4 of 2021. 03:27 Before we dive into the Q4 results, it's important to remember that the fourth quarter represents the first quarter where we can see the impact of all of our recent acquisitions. The impact of the basic asset acquisition can be clearly seen when comparing Q4 to Q3. The third quarter represented a full quarter of our Wireline acquisitions, whereas the fourth quarter represents a full quarter of the addition of the basic assets. 03:51 Revenue for Q4 was $123 million with adjusted EBITDA of $9.1 million. At the segment level High Spec Rigs had revenue of more than $59 million and segment level EBITDA of approximately or up $8.8 million, generating approximately 15% EBITDA margins. Wireline had revenue of $45 million and segment level EBITDA of $1 million, generating 2% margins. Processing Solutions and Ancillary Services had revenue of $19 million and $3.6 million of segment EBITDA, generating approximately 19% EBITDA margins. Corporate G&A after adjustments represented a very modest 3.5% of revenue. 04:31 I will now turn it over to Brandon to discuss Q4 in more detail.
Brandon Blossman: 04:37 Thank you, Stuart, and good morning to everybody on the call. Let me try to provide some incremental color to our Q4 numbers. First, I'll start at net income. So here net income moved up quarter-over-quarter from a loss of $9 million in Q3 to a gain of $24 million in Q4, that's an increase of $33 million, driven essentially all by the positive impacts of the basic transaction and both on an operational and on an accounting basis. 05:13 The spread between last quarter's numbers and this quarter's numbers and also between the adjusted numbers for Q4 and the unadjusted numbers on both EBITDA and net income are particularly wide. So I'm going to take a little bit of time here to run through all of the adjustments that make up the delta between the net income and EBITDA as reported and as adjusted. So first on the net income, there is an adjustment of $6 million, that $6 million is a release of a tax valuation allowance that is associated with the 2021 tax year. And that is driven largely by the shift from a loss to a gain on the net income tax book basically. 06:03 Now everything else will also be included in the EBITDA adjustments. So here, we posted $9.1 million of adjusted EBITDA from Q4, and as you would expect post the major acquisition the adjusted numbers include meaningful adjustments related to the -- particularly the basic acquisition. So specifically the bridge between an unadjusted $32 million of EBITDA and our adjusted reported number of $9.1 million include the following items; One, a reduction in EBITDA of $37 million, that's net of tax, on the booking of a bargain purchase for the basic transaction, here the minimum reasonable net book value that we recorded for the basic assets was well above our purchase price, putting us in the unusual position of needing to book a gain on that acquisition. 07:03 Next on the add backs side, we recorded $7 million worth of transaction costs, which were associated with the basic acquisition itself, a related equity capital raise and the termination and refinancing of our revolver and Term Loan A along with the addition of the Term loan B. Also done in conjunction with the basic deal, as previously disclosed, we terminated our tax receivable agreement, which was settled with a $4 million stock issuance. This was also an add back to EBITDA and net income. 07:40 The unadjusted number also includes $1.5 million worth of bad debt expense, which we were adjusting out, which primarily relates to the still ongoing bankruptcy process of a former customer and this is related to work completed in early 2019. And finally, we recorded $1.4 million worth of Wireline perforating gun expense in Q4 on an inventory true up, which was more properly related to Q3 Wireline operating expenses. The sum of all of these ins and outs returns the reported $9.1 million of Q4 adjusted EBITDA. 08:25 All right. So that's over with and let’s move on to the segment details. As Stuart noted, this reporting season marks the beginning of our new segment reporting structure. And as I go through the segments, I'll take a moment to share some additional notes related to that reporting structure along with our historic KPI details that we generally provide. 08:48 First, the High Spec Rigs segment. This continues unchanged in structure from our legacy reporting. Here, we capture the revenue and expenses of our service rig fleet, along with the revenues associated with any additional related equipment or on-site services during that service delivery of the High Spec Rig. What is new in this segment this quarter is of course the addition of the basic service rig fleet. However, do note that beyond the addition of the basic employees, the location and the service rigs from the basic deal this segment remains fully comparable period to period. 09:29 So, on a quarter-over-quarter basis, so again, this is the pre-basic versus post basic comparison, the High Spec Rig segment revenue was up sequentially 2 times from $30 million to nearly $60 million of revenue, while segment EBITDA -- segment EBITDA margins moved down slightly from 16% to 15%. Average rigs working during the quarter moved from 67 to 167, an increase of 150%. 10:05 Period revenue hours, moved from 51,000 to 111,600, 120% increase. Note, that this 120% increase is fully attributable to the addition of the basic service rigs. The legacy Ranger hours were approximately flat quarter-over-quarter. Offsetting that increased in revenue hours was a drop in the composite revenue rate, which moved down 9% from 5.84 an hour to 5.33 an hour. 10:41Let me provide some color around that Q4 average rates. So that 5.33 as we entered into Q4, so the 5.32 was the average, as we entered into Q4 post acquisition the first months average was 4.96, quite a bit lower, but we exited the quarter of Q4 at $561 per hour rate. I'll also note that as we move forward through the Q1 a little bit of a teaser here, we're back to at least the rates that we saw pre basic acquisition on a composite basis. 11:17 Now moving to Wireline. A standalone Wireline segment is new to our reporting structure. In the past the Wireline business was co-mingled with other Ranger branded services and reported on a compositor collected basis. We are now disaggregating Wireline as a stand-alone reporting entity. This segment, as a reminder, includes last year's Patriot and PerfX acquisitions along with the legacy Mallard business. Here we will continue reporting the same set of operating metrics for the completion of Wireline business as we had historically. But note, that this segment now includes the three largely integrated Wireline services, as Stuart noted, completion work, production work and also rely Wireline related pumping work. 12:13 So, overall, this segment, again on a quarter-over-quarter basis had revenue moving down slightly from $46 million to $45 million, a drop of about 3%, while margins dropped from 3% to 2%. And then for the operating metrics, again note that the operating metrics that I'll provide are like what we have provided historically and relate just to the completion side of the business. However, this still constitutes more than 80% of the segment's total revenue, so obviously very relevant to the overall segment. 12:50 So, again just for completion trucks, the average working truck count moved from 20 to 18, a 10% decline, while the total completed stage count move down from 11,400 in Q3 to 9,900 in Q4, a 13% decline. Here, comparing Q3 to Q4, both the average working truck count and the periodic stage count declines were largely attributable to the weather and holiday schedule disruptions that we typically see in Q4. 13:27 On the revenue side, the rate largely offset the declines in stage count and increased from $3,400 a stage to $3,800 a stage. This on a combination of both customer mix shift and customer -- individual customer price increases. And then finally, our last new recast segment. As Stuart noted, the Processing Solutions -- the new Processing Solutions and Ancillary Services segment is the sum of our legacy Torrent businesses, along with several other service lines, both legacy Ranger and new to us from the basic acquisition. 14:09 Given that this segment includes such wide -- such a wide-ranging group of business lines, we do not yet have a single set of operational metrics that stand out as useful in understanding the segment as a whole. We will continue to evolve on that front and hopefully as perhaps some of those businesses grow in size, we'll be able to break out some operating metrics. But we have nothing to share today on the operating metric side. 14:39 And then just to wrap up on a Q4 comparison basis, revenues in this new segment moved up from $6 million in Q3 to $19 million in Q4. That's more than 3 times, again like the rigs business largely on the addition of the basic service lines. Offsetting that slightly, margins moved down modestly from 23% to 19%. 15:07 That's it for the segments, and now back to the overall company. CapEx for the quarter in total was $2 million with the majority of that spend associated with a multitude of small upgrades to the basic rig fleet necessary for those rigs to meet Ranger standards. At the end of Q4 net term debt stood at just over $34 million, that consists of a Term Loan A and a Term Loan B, each with an approximate balance of $12 million and our PerfX acquisition debt, which has a current balance of right around $10 million. 15:47 Liquidity at year's end stood at $19 million, that was up $5 million from Q3's ending $14 million, and that $19 million was composed of $27 million of draw against a $45 million borrowing based on our revolver, plus approximately $1 million of cash on hand. Mid-week this week that number was largely unchanged and stood at approximately $18 million of liquidity. 16:18 I think that's it from me and the numbers, and let me hand it back over to Stuart.
Stuart Bodden: 16:23 Great. Thanks, Brendan. I’d like to spend a couple of minutes discussing the integration of our recent acquisitions. Given the size and complexity of the basic asset acquisition evaluating, purchasing and integrating the basic assets has been the primary focus of the senior management team over the last several months. We are very pleased with our progress today. As noted earlier, incremental revenue and EBITDA from Q3 to Q4 is primarily related to the addition of the basic assets. 16:55 In Q4, we had $42 million of incremental revenue, and approximately $6 million of incremental EBITDA, suggesting a non-optimized pull-through of approximately 14%. Basic was our largest acquisition to-date and we have been very focused on getting it right. With Basic we brought all employees and assets onto Ranger systems on day one. That was not possible with the Wireline acquisitions and although smaller the Wireline acquisitions had been more complex from a systems and processes perspective, we are now giving them increased attention. 17:31 Current asset sales, which includes both basic and some Ranger legacy assets was $8 million at the end of Q4, we expect to wrap up another $2 million to $4 million by the end of the current quarter, we have line of sight to an additional $5 million to $7 million in asset sales before the end of the year, which does not include physical properties. There are seven additional physical properties that we intend to sell, which we believe will realize another $5 million to $7 million. All told, we expect asset and property sales to be more than $20 million in total, with approximately $8 million completed to-date. 18:07 To-date, we've taken 135 rigs out of the U.S. land market through our rig recycling impact program or RRIP. This includes the 120 rigs that have been destroyed and recycled and 15 rigs that have been sold internationally or out of the market. We have recycled approximately 4,500 U.S. tons of steel to-date from our RRIP program. We have posted links to videos about our program on our social media accounts and I would encourage you to take a look. 18:36 Before I turn our attention to the outlook for Q1 and for the full-year 2022, I would like to quickly review the accomplishments of the Ranger team in 2021. Through the acquisitions of Patriot, PerfX and the Basic assets we tripled the size and revenue potential of the company, building meaningful scale in both our rigs and Wireline businesses. We also acquired several new business lines as part of the Basic asset purchases that we feel bring meaningful upside to the earning power of the company. We also greatly simplified our capital structure. We refinanced our entire balance sheet, eliminated our TRA and collapsed our multi-tiered equity structure into a single class of stock. 19:16 As noted in our call in early October about the basic asset purchase, we modeled approximately $30 million of EBITDA in 2022 with $15 million plus of asset sales. Given the success of the integration and results to-date, we believe we will meet or exceed those numbers. Meaning, we purchased the Basic assets for less than one times EBITDA. We are proud of what we accomplished in 2021 and we're excited about what lies ahead. 19:44 For full-year 2022, we expect revenues to be between $520 million and $560 million, which is an increase from our previous guidance of $450 million to $500 million. We expect EBITDA to range between 11% and 13% for the full-year. We are still targeting a 15% EBITDA run rate by the end of the year for Ranger as a whole. For Q1 2022, we are anticipating revenue of roughly $120 million, although we anticipate exiting the quarter at a run rate closer to $130 million. We are expecting similar revenue growth quarter-on-quarter for the rest of the year. 20:22 We should highlight that we expect the pattern of margin and EBITDA development to be more weighted to the back half of 2022 than originally anticipated. The primary reason for this is that we expect Q1 to underperform relative to Q4 because of challenges in our Wireline segment during the first couple of months of the year. I will elaborate on this shortly. 20:42 For rigs, we're expecting steady increases in revenue and margin throughout the year. Again, this business is performing well and as expected. We modeled modest growth for Processing Solutions and Ancillary Services, but we do see further upside in these businesses. As an example, both Torrent and our P&A business have positive ESG benefits and are seeing increasing interest from customers. Another example, coiled tubing, which is primarily a DJ Basin business has already realized more than $6 million in revenue and segment EBITDA margins of approximately 20% in the 5 months we have owned it. 21:21 Now back to Wireline. There have been two primary issues in Wireline and we are actively addressing both of them. First, the typical structure for plug and perf operations are completion operations leave service companies at the mercy of supply chain issues, such as delays in sand deliveries or the late arrival of frac crews. Common industry practice has been to charge plug and perf services on a per-stage basis regardless of the number of stages completed that day. Unfortunately, we have had instances of sand delivery delays that resulted in zero stages completed for several days and therefore zero revenue, despite Ranger incurring cost and our crews need to be paid for their time and location. Given the tightening market, we are now working with customers to put in a day rate or a standby charge to eliminate or minimize this risk. 22:12 Second, tight labor markets have limited the flexibility of our labor and service model. In anticipation of increased work, we decided to hire additional personnel ahead of expected demand. When some of the work did not materialize as expected, we strategically decided to pay our crews to keep them working for Ranger. Normally we would have had the flexibility to send these folks home, but we decided we do not want to risk losing them as you wanted to ensure that we have available crews in a growing market. As indicated, both of these issues are being addressed, and we expect to see considerable improvement of Wireline as we move into the second quarter. 22:47 When looking at the full year, we expect to generate meaningful cash flow in 2022. We are projecting free cash flow of $35 million to $45 million, which does include the asset sales highlighted above. This range represents expected EBITDA, deducting CapEx, light duty vehicle leases and working capital build, plus additional asset sales. As we begin to generate positive cash flow, our first priority will be paying down our long-term structured debt, which today totals approximately $32 million. Once our long-term structured debt has been retired we would like to keep some powder dry on hand to position us for future acquisitions and we will also consider a dividend depending on the market conditions at that time. 23:32 Thank you for listening to our commentary. This is the end of our prepared remarks and we'll open it up for questions.
Operator: 23:39 We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from John Fichthorn from Dialectic Capital. Please go ahead.
John Fichthorn: 24:13 Hey guys, nice job in integrating all those deals. It's really impressive. Stuart, you said something on the call that the caught my attention. You said post all these acquisitions you've tripled the size and revenue potential of the company. I'd just love it if you could kind of expand on what that means over the longer term? And maybe also on the potential of these new businesses in the Processing Solutions and Ancillary Services segment if you might?
Stuart Bodden: 24:44 Yeah. Thanks, John for the question, appreciate it. I mean, I think kind of how we're thinking about the business is really maybe just take the three segments. On the rig business it is -- it's really kind of all systems go. It's performing exactly like we had hoped, we expect margins to continue to grow, revenue to continue to grow. The Wireline business is very material, it’s not performing as we want, but we really do think that we got our head around it and turning around. And then we have all this upside stuck in our others other service lines. I mean, what I would say is, we're projecting modest growth in those right now and that's really just a function of -- they're pretty new for us, we think in their current state they would just take the normal amount of maintenance CapEx. But what we're really trying to do is to figure out are these businesses that we might actually want to put growth CapEx into which could provide further upside. We will be pretty conservative in doing that. But again, I mean, I think just as we kind of look at the second half of 2022 and then into 2023, we're pretty excited about what we got.
John Fichthorn: 25:51 Great. Thanks a lot guys.
Operator: 25:56 The next question comes from Don Crist with Johnson Rice. Please go ahead.
Don Crist: 26:03 Good morning, guys. How are you all this morning?
Stuart Bodden: 26:07 Good morning.
Don Crist: 26:09 Can you talk about demand and the basis of the question is, a lot of people have come out on calls over the last six weeks or so. And so the demand was super strong, but then we're hearing a little bit of slow start to the first quarter from some people, due to some of the things that you highlighted in your prepared comments, sand, et cetera. Can you talk about how demand is kind of, ebbed and flowed and where it is going into the second quarter? How do you see it today.
Stuart Bodden: 26:43 Yeah, sure. Thanks for the question. And Brandon obviously chime in. So, I think what we saw is, if I just kind of walk through the quarter, I think like a lot of people, we actually had a -- what felt like a bit of a slow start in early January. That was a combination like we did see a holiday impact. And so, I think we saw that, but really started kind of building very steadily through January. February was a short month, there were, if you remember two weather days hit on a Thursday and Friday in the Permian Basin. So we were shut down for four days. So I think all of that combined to make it feel like Q1 was a bit of a slow start, plus -- or kind of started slowly. And then, obviously, as we highlighted, we are seeing frac crew delays and delivery delays, all of that is impacting operations. 27:38 That said, I think we are exiting the quarter at a pretty high run rate and we think that will continue to grow. So we're pretty excited about what we're seeing there. I guess what I'd just say from the last comment is, when I listened to the E&P companies talk, there is still sort of talk of, hey, we're not going to go over invest, we're going to remain disciplined. On the other hand, we're seeing a lot of inbound calls, I would say more inbound calls about equipment then would kind of match that commentary. So it will be interesting to see how that plays out. But what I would tell you is, we're getting a lot of inbound calls right now.
Brandon Blossman: 28:19 Yeah. And I'll just wrap it up, Don, with a comment -- a general comment. I think you have parse out the demand versus the logistics of it, so weather early in the year is COVID or weather or supply chain issues, that doesn't mean the demand wasn't there, that means that the systems just stretch so tight that a disruption anywhere along the path means that the effect of that disruption is magnified at the service delivery and at the process. So I think we have a queue of customers that are looking for services that are currently unmet. So again, the demand is there. It is just getting crews that are healthy and out on location and all the supply chain necessary to make sure that service, whether it's a completion of production is going to happen on time.
Don Crist: 29:16 Okay. I appreciate the color there. And with the demand being where it is in your eyes, are you able to push meaningful price increases or is there competitors out there that are keeping those prices kind of in check right now?
Stuart Bodden: 29:37 I would say we're pretty encouraged by what we've been able to accomplish on the pricing side. Kind of going back to the comments that Brandon made about if you just look at sort of -- as an example, rig rate pricing on our hourly basis. We almost have absorbed all of the lower basic pricing by the end of this quarter. So we're definitely seeing that ability. And on the Wireline side, an example I would give is, I think even 3, 4 months ago to go walk into a client and say, hey, look, we need to put in a standby charge for a day rate, they would have said, we're not going to take it and it's different today, where we're having success doing that.
Don Crist: 30:22 I appreciate all the time this morning, I'll turn it back.
Stuart Bodden: 30:26 Thanks, Don.
Operator: 30:28 [Operator Instructions] The next question comes from William Kim with Presidio Asset Management. Please go ahead.
William Kim: 30:41 Good morning, Stuart and Brandon. How are you guys doing?
Stuart Bodden: 30:44 Good morning.
William Kim: 30:46 Just I have a few for you today. So if you can just provide some of your time here.
Stuart Bodden: 30:52 Are you still writing them down.
William Kim: 30:56 I was looking a bit at your working capital as we go through kind of the growth phase here. There is quite a bit of fluctuation in your receivables and I wanted to kind of get some context around what would you consider a normalized payment term like going forward? If you go back to kind of 2019 to today, we see a range of somewhere between 45 and 75 days, and obviously with the business continue to grow. I want to kind of get better idea of how much working capital usage we can see in 2022?
Brandon Blossman: 31:37 Okay. Well, I will take that one of that I have probably way too much color to provide on that, so I'll keep it relatively short. So we're at 63 days currently, we believe that's too long. And we believe we can bring it down. The color around that is that, many of our largest customers have done acquisitions and/or combining those acquisitions with the trends, the movement on to a third-party in the cloud invoicing system, and this all sounds like a lot of noise and unnecessary detail, but it's actually quite meaningful. We have to revamp our side of that process in order to submit and monitor the invoices in these third-party systems. And again, our largest customers have all over the last couple of years moved to these systems. Our largest customers have all done some meaningful acquisitions and have moved some of their acquired customers over to these new platforms. And we -- actually, I think we are ahead of the curve in terms of service providers in providing our side to be fully automated. We have in-house developers, they actually take quite a bit of pride in our ability to build and integrate with these systems. 33:04 But having said all that, there are a lot of delays on our customer side in terms of being able to stand up on their process, which means that our days outstanding lag. This is not because of customer quality, these are global integrated E&Ps. We are going to get paid, but they're having some growing pains with their systems, that's elongating and absorbing working capital on our side. We are very aware of the issue, and we are throwing a lot of internal resources at it. Our current target is to pull down that working capital day sales outstanding by 15 days, which should be about a $15 million to $17.5 million of working capital reduction, keeping revenue constant. 33:51 So anyway, we are very aware of it and we're actually quite pleased with the success of this initiative over the last couple of three weeks. And we expect to easily meet that 15 days of traction target here over the next six months.
Stuart Bodden: 34:08 And if I can just add on to that. Just to highlight some things that Brandon said. I mean these are global companies that have acquired major -- I mean we have, not to mention any names, we have customers who acquired a large company 2 years ago and still to this day they haven't integrated onto one system, and now they're saying, well, wait a second, you build our target, you have to build the parent. No, you build the parent, you need to build the target. So it's been a little bit interesting to really sort of dive into it. But as Brendan said, I think we're pretty optimistic that we're starting to get ahead of it.
Brandon Blossman: 34:45 Sorry. We're a little passionate about --
Stuart Bodden: 34:48 Exactly, sorry. [Multiple Speakers]
William Kim: 34:51That's great color. So it seems like -- if we kind of work through about a 45 to 50 day AR window, there is potential here to kind of get some more capital benefit into the rest of the year, even if we move furthering this up into 25 to 40 rigs, is that kind of accurate?
Stuart Bodden: 35:10 That's accurate. Yes, the lower end of our range we would expect the benefit, we would expect that benefit to be offset with the incremental revenue at the higher end of the revenue forecast.
William Kim: 35:24 Great. Thanks. And then moving on to the next question on the well service side, if we look at the hourly rig rates that you're seeing now and the color you gave a minute ago, looking at 5.84 coming out in kind of current quarter. Can we look at that as some sort of normalized run rate going forward? Or is there still some more improvement less that you see out there?
Stuart Bodden: 35:53 Yeah. I'll -- so I'm looking at our SVP of well servicing right now. And of course, I'm going to tell him, he needs to keep doing more. So I actually do think that there is still some upside. The market is getting increasingly tight, labor is tight. I think we are starting as an industry, beginning to get to the point. I think we're in a fortunate position that we still have assets that we can put into service if we can get the crews without a lot of CapEx. But you are starting to get to that point where the next rigs coming off the defense line need CAT 4s. They actually need some work on them. So the market feels quite tight, so I think that there is still more upside.
Brandon Blossman: 36:35 And I'll just note that on a longer-term historic basis we're nowhere near the margins that we saw in ‘13 and ’14. Given the tightness on the macro side, it would not be unreasonable to expect us to be able to return to kind of a historic, at least maybe not peak number, but better than mid cycle number here as we move through the macro landscape over the next 24 months.
William Kim: 37:04 Got it. Great. Next I want to kind of move into more the Wireline and Ancillary Services businesses. I think this is kind of the first quarter, and forgive me, if I missed it, that you guys gave more of a stage count number. And so, I wanted to see how was that relative to kind of previous years and quarters? Do you have any number in front of you that you can share as far as completed stage count in 2019, ‘20 and in the first half of ’21?
Stuart Bodden: 37:40 Yeah. We are happy to circle back with anybody that's interested in historic numbers. We try to have -- historically we've tried to sprinkle that at end of the calls one way or another. The only issue with it historically and still a mismatch between that one set of metrics and the overall results of the segment. But to comparability from once upon a time to post Q2 of last year is going to be colored pretty strongly by the tripling of the size of the completion fleet post acquisition of PerfX in particular versus pre-acquisition.
William Kim: 38:22 Okay, got it. And then on the Wireline side, so it seems that -- are you now dedicating certain Wireline units to P&A work and going forward that revenue will show up only in the Ancillary Service side. It seems like, if you look at previous quarters, that some revenue was taken from the Wireline segment and pushed into the Ancillary Services side. So I kind of want to get a better idea of how assets are dedicated to the Wireline units into each segment? And how you see that going forward?
Stuart Bodden: 39:04 So going forward, Wireline will only be in the Wireline segment with one small exception, we do have a P&A business that does use Wireline trucks in the Ranger branded businesses, but that is de minimis in size and in revenue. So for all practical purposes a Wireline truck will sit in the Wireline segment.
William Kim: 39:30 Okay. Got in. The last one just revolves around -- one of the last couples just revolves around your capital structure. So what are the other financing liabilities in the net debt number that you guys provided in the press release.
Stuart Bodden: 39:45 That would be the sale leaseback that we did last year on the Milliken facility.
William Kim: 39:53 Okay, great. And just looking at your guidance here, last question I assume. If we kind of take your ongoing G&A number of roughly $16 million and take a midpoint on your revenue guidance and midpoint on your EBITDA margins, let's kind of been playing an $80 million segment EBITDA number and closer to $100 million run rate at year end, is that -- am I thinking about that correctly or am I double-counting there?
Stuart Bodden: 40:25 No, I don't think you're double counting. That brings up the comment or conversation on G&A. Ironically I think our internal discussions are around maybe running to light on G&A, so you may be -- we would expect to see G&A at least in the first part of 2022 move up a little bit. And essentially that would be work around ensuring that we're fully optimized and ready to go for another acquisition if that should come into our focus. So we've had a lot of work to do over the last 6 months. And now we're kind of shifting focus to the fire drill getting everything up and running and running well enough to optimizing all those systems and processes. So we are actually actively adding head count and G&A right now to ensure that we are as efficient as possible. We'll see how that turns out at the end of the year, we may be very successful and be able to move back down to the historic G&A number, but it has been -- our people have been stretched very thin on the corporate side over the last 6 months. Let me just to say that.
Brandon Blossman: 41:40 Yeah. For sure.
William Kim: 41:43 Great. Okay. Very good. Thank you, guys, both. Great quarter.
Stuart Bodden: 41:48 Thanks, William.
Operator: 41:51 This concludes our question-and-answer session. I would like to turn the conference back over to Stuart Bodden for any closing remarks.
Stuart Bodden: 41:59 Again, thank you operator. Again, I appreciate everybody joining the call today. Don't really have much to add. Hope everybody has a nice rest of the day and a great weekend. Thanks everyone.
Operator: 42:11 The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.